Operator: Good day and welcome to PriceSmart Incorporated Earnings Release Conference Call for the Fourth Quarter of Fiscal Year 2014, the three-month and twelve-month period ending on August 31, 2014. All participants are currently in a listen-only mode. After remarks from Jose Luis Laparte, PriceSmart’s President and Chief Executive Officer; and John Heffner, PriceSmart’s Executive Vice President and Chief Financial Officer, you will be given an opportunity to ask questions as time permits. (Operator Instructions). As a reminder, this conference call is being recorded on Wednesday, October 29, 2014. A digital replay of this call will be available through November 30, 2014 by dialing 888-203-1112 for domestic callers, or 719-457-0820 for international callers and the pass code is 9101656. I would now like to turn the conference over to John Heffner. Please go ahead, sir.
John Heffner: Thank you, Brendan and welcome to our earnings call for the fourth quarter of fiscal year 2014. We will be discussing the information that we provided in our earnings announcement, which we publicly released yesterday, October 28, 2014. You can find it on our website www.pricesmart.com. We plan to release our 10-K on Thursday, October 30, 2014. Please note that statements made during this call may contain forward-looking statements concerning the company’s anticipated future plans, revenues and related matters. These forward-looking statements include, but are not limited to, statements containing the words expect, believe, will, may, should, estimate and similar expressions. These statements are subject to risks and uncertainties that could cause actual results to differ materially, including the risks detailed in the company’s annual report on Form 10-K for the fiscal year ended August 31, 2013 filed with the Securities and Exchange Commission on October 30, 2013. We assume no obligation and expressly disclaim any duty to update any forward-looking statement to reflect the occurrence of events or circumstances which may arise after the date of this call. Now, I will turn this over to Jose Luis Laparte, PriceSmart’s President and Chief Executive Officer.
Jose Luis Laparte: Good morning, everyone. And thank you for joining us on the call. We’re speaking to you from Bogota, Colombia where today we officially opened our first warehouse club in this wonderful city and we’re very excited about that. We now have four warehouse clubs in Colombia. We did something a little different for this opening compared to other warehouse clubs opening. We have two days of what term soft opening where we invited certain members to visit our club and show up on Monday and Tuesday in advance of the official grand opening today. Both of those days and the VIP event we held last night were well attended and made for a busy week for our Bogota team. I will speak more about this later in my comment. Let me start my report by talking about the sales for the fourth quarter of the fiscal year 2014 that ended on August 31st. Sales came in at $599.6 million, representing a 5.6% total growth compared to last year. In terms of comparable sales, we had an increase of 1.8%. Similar to what we first saw in Q3, we experienced a slower growth in sales in this fourth quarter compared to the first two quarters of the fiscal year and compared to year earlier period. When we look our sales for particular countries, I would like to comment that consistent with older recent quarters, we have double-digit comp growth in Panama, single-digit comp growth in other countries except for Costa Rica, Honduras, Jamaica and El Salvador. Core devaluation and economic conditions are having some negative effect. Costa Rica and Honduras were also impacted by the opening of our Tres Rios and warehouse clubs with some sales being transferred from our Zapote and Tegucigalpa warehouse clubs, which negatively impacted comparable sales measurement. As I have spoken off before in those markets and overall for the company. In terms of merchandize categories, we saw double-digit growth in areas like electronics. There is still some effect of TV sales for World Cup, gourmet, deli and toys. Other relevant departments in terms of sales with single-digit growth include HBA, liquor, soda, fresh meat, seafood and in non-foods we have small appliances, basic apparel and home furniture. Areas with comp sales decreased include uses vegetables, oil, computers and housewares and tires. Membership income for the quarter have an increase of 7.9% with $9.8 million of income. Our renewal rate was 84% for the 12 month period. Now I would like to add some comments on our full year results. We finished this year fiscal year 2014 with sales of $2.4 billion representing a total increase of 9.2% and 4.8% in comparable sales. Net warehouse sales grew in all countries with exception of Jamaica that experienced a significant devaluation of its local currency and as a result of that also have challenges in the economy of the country. Countries recording double-digit sales growth for the year include Colombia, Panama, Trinidad and Tobago and Aruba. Our sales growth of 9.2% for the year we saw dip from an 8.1 growth in transactions and 1% growth in average ticket. Our other sales growth for the year that we just ended was $74.1 million compared to $72.2 million in the year ago. Five of our warehouse clubs exceeded sales of $100 million and another 10 clubs did between $80 million and $99 million for that year. By regions, Latin America had a 10.2% growth, which was aided by the two new warehouse clubs that we added during the fiscal year; one in Costa Rica and one in Honduras and the full year impact of our [Manta] club in Cali, Colombia. The Caribbean region had a 6.9 growth in sales compared to the same period last year with no change in the number of warehouse clubs. In our membership results for the year, we ended with more than 1,182,000 membership accounts. Membership income was $38.1 million. As I mentioned at the beginning of my comments when I reported our fourth quarter sales, some markets like Costa Rica and Jamaica are facing challenges because of devaluation of their currencies and an effect also on the economic conditions in those countries. El Salvador, and to a lesser extent Honduras are also facing challenges in economic and general security issues that we believe have negatively affected our sale. Even in those markets with challenges, we remain consistent with our principle of offering good quality merchandise to our members and making sure we offer the values that they expect to find in our books. John Heffner will give you more details on the financial results for the quarter, but before we do that, I just want to provide a little more information about this exciting time in Bogota and update everyone on the call with our plans for additional club openings during this fiscal year. As I mentioned earlier, today we officially opened our club here in Bogota located near to the airport. We’re very pleased with the welcome we have received especially during our two soft opening days. We’re opening today with a record number of member accounts for our new warehouse club and even before we include approximately 7,000 member accounts that we already had in Bogota, as a result of people from this city shopping in one of our other three warehouse clubs in Colombia, either in person or online. Our first shopping day on Monday was by invitation only to those members who have shopped with us before, but now had a warehouse club in relatively close proximity. Last night we held an event at the club; next month actually we expect to add two more new clubs in Colombia. On November 13, we expect to open Pereira, a city in the Coffee region area and in November 26, less than a month from now, we expect to open in Medellín, the second largest city in Colombia. Now results of membership sign ups are very encouraging in these cities. And similar to Bogota, we have existing members for these cities that have been shopping with us in Barranquilla or Cali or online and will soon be able to shop with us in their own city. I guess a last comment on those opening days is we actually also set some good records on sales for us. So, it’s kind of exciting to be here watching all the activity happening in our club. So, it’s a very good time for us as a company. Apart from Colombia, we started construction of a future warehouse club in La Chorrera, Panama, a growing area just west of Panama fee. The goal is to open that club sometime in the summer of 2015. When completed, it will be our fifth warehouse club in Panama, a country that has been one of our faster growing market. Our efforts to continue expansion in Colombia and other 15 markets in the region, our propriety for us our real estate team. At the same time, all of our 34 clubs are ready with a full selection of exciting holiday merchandise and we’re now full steamed into our seasonal categories in other different departments in the club. This time of the year as you all know is pretty (inaudible) to move a lot of merchant based into our building with especial attention on maintaining good in stock position for our members. We have been working with our automatic replenishment system and network of distribution centers to avoid out of the stocks and give a consistent flow of merchandise to our clubs during this busy holiday time. Before I turn things back to John Heffner, I will just like to thank all of you for participating in our call and wish you the best in the upcoming holidays. Thanks also to the PriceSmart team for all their efforts for a successful holiday season and the opening of three warehouse clubs in such a short period of time. Thanks again for your time and attention.
John Heffner: Thank you, Jose Luis. Let me highlight a few additional items with respect to our financial results for the fourth quarter based upon our release yesterday before we take your questions. As I mentioned, we plan to file our 10-K on Thursday tomorrow, and that will contain additional information about our full year results. As Jose Luis mentioned, our net warehouse club sales increased 5.6% over the comparable period -- prior period. The company ended the quarter with 33 warehouse clubs compared to 31 warehouse clubs at the end of the fourth quarter of fiscal 2103. Comparable warehouse club sales for the 13 weeks ended August 31, 2014 grew 1.8%. The impact of the cannibalization of sales in existing clubs Zapote, Costa Rica and Tegucigalpa, Honduras was approximately 270 basis points, about the same as what we experienced in Q3. Membership income for the fourth quarter of fiscal year 2014 increased 7.9% to $9.8 million. Warehouse gross profits that is net warehouse club sales less associated cost of goods sold in the quarter increased 6.4% over the prior year period and warehouse gross profits as a percent of net warehouse club sales were 15.2%, an increase of 12 basis points from the same period last year. Selling, general and administrative expenses not including preopening expenses and loss on the disposal of assets increased 4 basis points as a percentage of sales and operating income of $33.8 million was an increase of $1.3 million or 4% over the fourth quarter of fiscal year 2013. The company had a $528,000 net loss for currency exchange transactions in the current quarter compared to a 97,000 net gain from currency exchange transactions in the same period last year. And net income for the fourth quarter was $21.9 million or $0.73 per diluted share compared to $0.69 per diluted share in the fourth quarter of last year. The small increase in net warehouse margin percent over the year ago period was largely attributable to both operational effects such as lower shrink, salvage and throw-aways and due to vendor related items like higher end cap activity and supplier rebates. As always, these reductions in our cost of goods sold provide us an opportunity to pass on these savings to our members in lower prices going forward. Similar to last quarter, the additions of the Tres Rios, Costa Rica and El Sauce, Honduras warehouse clubs contributed higher operating expenses compared to the incremental sales generated in the period for those clubs, which resulted in overall 7 basis point increase in warehouse operations expense as a percent of net warehouse sales. Corporate G&A was down slightly by 2 basis points as a percent of sales. Pre-opening expenses were quite a bit higher than a year ago at $1.4 million compared to only a $160,000 last year. This reflects the increased activity in Colombia, especially at our just opened Bogotá location where our lease expense for that site was being recognized in pre-opening prior to this week’s opening of the club. Most significantly below income on our P&L, below operating income on our P&L was a net currency loss of $528,000 in the quarter after a number of quarters of currency gain. For the full year we had a net gain of $987,000. The effective tax rate in the quarter was 32.1%, a 178 basis points lower than a year ago resulting from the mix of income recognized across our various countries. At end of August, the company had a $137 million in cash and cash equivalents. For all of fiscal year 2014, the company generated a $137 million in operating cash, invested a $120 million primarily in additions to property and equipment and had a net increase in cash related to financing activities of $2 million, which included two dividend payments totaling $21 million. With that, Jose Luis and I will be happy to take your questions. Brendan, let me turn things over to you.
Operator: Thank you, sir. (Operator Instructions). And we’ll go first to Dave King with Roth Capital.
Dave King - Roth Capital: Thanks. Good morning guys. I guess first off, Jose, I believe it sounds like you’ve had a fair amount of success in getting new members at not only store you opened today, but just in terms of the other two in Colombia. I guess can you reconcile that with some of the that one -- I think it was a 1,182,000 number that you put out there for where new memberships or memberships now stand. Does that August number include some of these new stores already or is most of that coming in or most of the those new members come in after the quarter?
Jose Luis Laparte: Well, I guess to your second question, the 1,182,000 is only from the ending period so it doesn’t include any of the effect of the new openings. On the first question, we don’t really provide Dave I guess detail on the number of accounts coming from the specific country. As we report in the next quarter at the end of this first quarter of fiscal year 2015, probably the new club openings number will be then included on our new number.
Dave King - Roth Capital: Okay. That helps. And then, John, turning to the pre-opening expense stuff that you outline it sounds like obviously, it’s for these new stores, but it sounds like some of that’s due to the lease cost for Bogota, which obviously will then continue into next quarter as well. I guess how should we be thinking about the level of pre-opening expense as we look forward? How much of that should $1.4 million -- how much of that should be continuing in the next quarter. And then as we look out over the course of the year, kind of when should it return back to kind of that normal rate we’ve seen in prior periods?
John Heffner: Sure. Well, as of this week since we opened the club this week, we now will take that lease expense and put it into normal warehouse operations expense. So, all the pre-opening expense is associated with Bogota will be in operating expenses going forward. This quarter, this first quarter you will see some pretty high pre-opening expenses. So, it will be both the continuation of that lease here for Bogota for September and October. But more importantly is the cost of hiring and training people both for this warehouse club, as well as the clubs in Medellin and Pereira, which are planned to open before the end of this quarter. So this would be a pretty heavy period of pre-opening expenses for all three of those warehouse clubs. Going forward, after November, the pre-opening expenses will seize for those clubs and it will then as we get closure to openings of additional clubs, for example, when we announced in Panama that we would plan to next summer, we will start seeing the pre-opening expenses probably in the third and fourth quarter for that club. So, I would expect Q2 and Q3 to be fairly low pre-opening expense quarters.
Dave King - Roth Capital: Okay. That’s very helpful. Thank you. And then I guess just in general as we think about kind of location selection, store openings things of that nature. How should we be thinking about or what are you guys thinking in terms of new opportunities for stores; is it more focused on Columbia, obviously we have Panama coming which has been a good market for you? So, how are you guys thinking about new locations where do things stand with that pace of openings regions et cetera?
Jose Luis Laparte: Okay. I’ll take that one. Well, I would say definitely the one content so far is that that one in Panama for our fifth warehouse club. I will say that definitely there is a focus on Columbia still because Bogota as we learned a lot I guess during these two days; I have been here since Friday in Colombia working in the warehouse club directly and talking to a lot of members on what we hear is obviously given the size of the city they want something on the north or next to the airport which is more a south location. So definitely there is opportunity for more warehouse clubs in this particular city. We have been working in different locations. We don’t have anything official. But there are locations that I guess I have been reporting in other calls or in other comments that we have been trying to figure out and to work out so that we can add them to what we call the pipeline of warehouse clubs. So don’t have anything confirm definitely for the next let’s say 8 months, 10 months but as soon as we get confirmation on the sites, we will be happy to announce the number. It speaks definitely not only for the city of Bogota but the rest of Colombia where there are other cities including Medellín which is also another big city, and other big cities that are still an opportunity for us Brendan to mention another one, possibly something else in Barranquilla. So, we’re studying the market because Colombia still shows good opportunity. And it doesn’t mean that we’ve forgotten South America and other locations in Caribbean, no, we’re still possibility of adding a couple of warehouse clubs in the other areas like Central America where we believe that there is still in some of the bigger cities still room for some growth in terms of (inaudible). It’s a combination of those; Colombia definitely having a lot of wake in terms of the priorities because we stay to still trying to I guess be good for a city with 45 million. It sounds still like a low penetration. So we believe there is still room for growth for sure here.
Dave King - Roth Capital: Fantastic. Thanks for the color.
John Heffner: Thank you.
Operator: Next, we’ll go to Jon Braatz with Kansas City Capital.
Jon Braatz - Kansas City Capital: Good morning everyone. John, last couple of quarters, we’ve had a couple asset disposal, had about $500,000, $600,000 loss, where are those from and where do you see that in the future?
John Heffner: Yes, John I can comment on that. Where they really come from is as we do different things in our warehouse clubs and we upgrade various aspects, some of the displays, some of the fresh areas, particularly fresh area has been an area of big investment as we expand some of our refrigeration or things like that. What we do is we will pull out the old equipment that still has some depreciable life on it, so still functioning equipment but it has essentially zero value once we pull that out. So that’s those are the non-cash write-offs that we make at that point. And it really reflects I think the replacement of more efficient or higher capacity type things that we’re doing to improve the member experience.
Jon Braatz - Kansas City Capital: Okay. And then secondly on the interest expense, I assume you’re capitalizing some of the interest expense associated with the three new stores. Would we see that begin to reverse, I assume we should see that begin reverse in 2015, would we see a pick-up in interest cost from the fourth quarter level?
John Heffner: Sure. I think that’s fair, I think to the degree that it reflects the activity, the construction activity that is going on. And right now we’re in a period of fairly heavy construction activity. So, I think when we put the K out, you’ll see and more closely disclose as what the specifics are around our capitalized interest. But the activity of this quarter and of the fourth quarter and again here in Q1, it’s pretty heavy in that construction area so that would provide the opportunity to put more capitalized interest.
Jon Braatz - Kansas City Capital: Okay. Alright Jon. Thanks. But more importantly, are you going to be able to pick up the seventh game in the World Series and watch the Kansas City Royals win from Colombia, I mean?
Jose Luis Laparte: Yes. It was on last night at the hotel lobby.
Jon Braatz - Kansas City Capital: Okay. Thanks.
Jose Luis Laparte: Thank you Jon. Good luck.
Jon Braatz - Kansas City Capital: Thank you.
Operator: We’ll go next to Thomas Vester with LGM.
Thomas Vester - LGM: Hi guys. Thanks for the call. Jose Luis, I guess can you share some color on I mean if you take the average basket in your new warehouse club in Bogota, what’s the price premium in terms of the same basket in Cali? Just to try and get an understanding of what’s the cost, I mean excess cost of doing business when you have to transport the goods in lands in Colombia?
Jose Luis Laparte: Some of the studies we have done in some of the items, it shows probably like a 5%, depending on the cube of the eight, it means between 4% to 5% higher cost serving these locations. But what we found also, when we were doing all these studies Thomas in terms of a competition, the competitive umbrella remains very good or pretty much at the same level of the other city. Because at the end of the day anybody bringing goods inside Bogota is going to have to go through the same expense. And it varies definitely and another cost bringing some goods out of Barranquilla port or Buenaventura port, doesn’t matter which port you use to get into Bogota or Medellín. But we have not, this is everybody impacts that on the freight and we haven’t seen any distortion that will make so much of a difference in our comparative umbrella. I hope that answers more or less your question, Thomas.
Thomas Vester - LGM: Yes, that’s a good answer. Thanks. The next question, I mean you mentioned I think it was 6 clubs above the $100 million and was it at -- can you repeat the figures you said and the number of clubs between 85to 99?
Jose Luis Laparte: Yes, I sure can do that yes. We have right in last year, we have 5 that exceeded a $100 million and then other 10 that were between 80 and 99. So that was what I was saying, 5 that over 100 and 10 above 80 and 99, or 80 and 100.
Thomas Vester - LGM: And what were those figures a year ago in year 2013?
Jose Luis Laparte: Yes that was from last year.
Thomas Vester – LGM: Yes, but a year before that?
John Heffner: So for the year before in 2013 what was that, 2014.
Jose Luis Laparte: For the year before…
John Heffner: I don’t have that information sitting here...
Jose Luis Laparte: Yes, I don’t have either; I don’t think I have it handy so much.
Thomas Vester - LGM: Okay. Maybe John, if I should ask you last question, you can give it me.
Jose Luis Laparte: Yes. I’m sure they were like 3 above $100 million, I don’t recall how many.
John Heffner: We got two more into that category this past year.
Jose Luis Laparte: Yes. We move a lot of clubs and that’s more in the category of 80 to 99, not definitely; I know that you saw where other club growing almost $2 million now.
Thomas Vester - LGM: Okay. And then a question, I mean you also -- I mean we have the October same-store sales, and I don’t know if you can give any color on this, because I know it’s related to the expectation going forward. But one-one plus in the -- I mean on a chart, your same-store sales numbers month-by-month, I mean there is very clear downward trends in the devaluation in Costa Rica and you also attribute the fact of your decline to the problems in Costa Rica. But can you give any, I mean do we have anything to share and in terms of how long-term you expect this downward trend to continue, when you we expect it to stabilize, do you expect to go into negative same-store sales or is it not possible to share anything in this?
Jose Luis Laparte: No, we don’t really share, I mean our level of goal, the only thing I can tell you is our goal is not to getting the negative comp growth and we’re working hard to keep the positive trend that we have had. But other than that, it will be a situation, hopefully things will get better in the economy, we will even start at some point the opening of some of the like our Tres Rios club in the next quarter. Starting the second quarter will be comping against the regional club with the opening of the second one. So, things will get probably better for some of the clubs in that respect, but there is really not much we can comment on the economic conditions that definitely will drive for some of these countries Jamaica and Costa Rica in particular some challenges.
John Heffner: It sounds I guess I would add. We’re about a week away from releasing our sales for October. So, the next checkpoint will be about a week away.
Thomas Vester - LGM: Okay. Okay, great. Just two quick ones more if I may. There was a quite significant pickup in the export revenue. Is that due to more volume with your existing relationships in the Philippines or was that due to other exports?
John Heffner: We’re still specific. The only activity going through there right now is to the single customer in the Philippines that really reflects the growth of their demand that they put on us. So no, we’re not expanding that to other countries or other customers.
Thomas Vester - LGM: Okay. And then just finally in terms of -- I mean you’ve never done a share buyback, if I’m correct. Is this something that has been talked about or is it simply out of the question?
John Heffner: It’s not anything that we’ve been talking about.
Thomas Vester - LGM: Okay. Thanks a lot for your call guys.
Jose Luis Laparte: Thank you, Thomas.
Operator: (Operator Instructions). And we’ll go next to Carlos Boutell with (inaudible).
Unidentified Analyst: Hello. Hi, Luis and John. Thanks for taking my question. Just wanted to get a little bit a better understanding on I guess what we can expect in terms of the pace of store openings moving forward. I’m looking at sort of your historic data on store openings and it’s similar to regulator but with an upward trend. I mean you are, based on what you’ve announced in this fiscal year ‘15 going to open I guess at least three warehouses in Colombia, in fiscal year ‘14 you’ve opened two, fiscal year ‘13 two, but then if you look at the five years before on average you’re only opening one per year of five more or less or low as five years on the five years (inaudible) 12. I mean can we expect the future to be more or like the last three years faster or slower?
John Heffner: Carlos, let me start with that and I’ll let Jose Luis lay in on this one. Just to correct the numbers, we at this point would expect to open four warehouse clubs in this fiscal year, the three that we’re actually doing this month in Colombia and then the one that we’ve broken ground on and construction has started in Panama, which we would hope to open for next summer, so that will be four. And those are the (inaudible) at this point and Carlos as you probably know we don’t announce new clubs until we have secured the site and have it permitted. And so I think Jose Luis mentioned, we’re working a number of opportunities both in Colombia and in our non- Colombian markets, but we would announce as we go. Jose Luis anything you want to add?
Jose Luis Laparte: Yes. And reality is we don’t really have our goal of saying this many this year this many next year, we basically we know in the horizon there are a few that we’re working on. And as soon as we get permits, we just move forward. I mean this three that happen to be all in November, obviously we have been working on those for many, many months. And they just happen to be a good opportunity to get them up before the holiday season and we did our best.
Unidentified Analyst: You have a land bank for many warehouses in addition to the ones that have been announced?
John Heffner: No, we currently don’t have any land banks?
Unidentified Analyst: And the strength to the [Centerra] and these are sort of extraordinary circumstances that have led to four openings in fiscal year ‘15 and even the two years before, another four, which is much faster than your history. I mean just sort of it just happened by obviously there is a lot of work that goes to it, but some of it is out of your control, I mean strength…
Jose Luis Laparte: It more than anything is swing. When the opportunity comes, we get the permits we move forward. So sometimes some permits may happen to take a little more time, but as soon as we confirm permits, we just move forward. And also chances are in another year we get permits faster and we can open another two or three maybe not be that fast and would push one to another year. So, there is not really a pace that we have, but obviously if you look at our history, this was a good year opening four, but not sure we can maintain it depending on that permits and the ability to get those heights.
Unidentified Analyst: But I think your capacity to grow faster has increased overtime. You have more -- always your team organized, I mean you have a team in Colombia a team in the -- always sort of the store, the site development team organized?
John Heffner: Hey Carlos, I would say that entering Columbia, which we did about three years ago now has really provided I think an opportunity for us to open a number of warehouse clubs in area that do not have clubs. In the non-Columbian areas we are -- we have far more penetration of existing warehouse clubs. And so, I think entering Columbia at sort of a Greenfield has provided us an opportunity, the opportunity to open more clubs and to support this market. The pace at which we can do it is driven by site being available and is being able to identify those sites. And as Jose Luis mentioned, permit them and move them to the process to close on them.
Unidentified Analyst: Okay. Thank you. And congratulations.
Jose Luis Laparte: Thank you.
Operator: And we have no additional questions in the queue. I’d like to turn the call back over to Mr. Heffner for any additional or closing remarks.
John Heffner: Well, thank you Brandon. And thank you all for your attention. This ends our call. And I will reiterate Jose Luis’s comments and wish you all a happy holiday season. Thanks bye.
Operator: And that does conclude today’s call. Thank you all for your participation.